Operator: Ladies and gentlemen, thank you for standing by. Welcome to The Wendy's Company Earnings Results Conference Call. I will now turn the conference over to Greg Lemenchick, Director, Investor Relations. Please go ahead, sir.
Greg Lemenchick - The Wendy's Co.: Thank you and good morning, everyone. Today's conference call and webcast includes a PowerPoint presentation, which is available on the Investors section of our website, www.Wendys.com. Before we begin, please take note of the Safe Harbor statement that appears at the end of our earnings release. This disclosure reminds investors that certain information we may discuss today is forward-looking. Various factors could affect our results and cause those results to differ materially from the projections set forth in our forward-looking statements. Also, some of today's comments will reference non-GAAP financial measures, such as adjusted revenue, adjusted EBITDA, adjusted EBITDA margin, adjusted earnings per share, adjusted tax rate, free cash flow and systemwide sales. Investors should refer to our reconciliations of non-GAAP financial measures to the most directly comparable GAAP measure. Our conference call today will start with an update on key initiatives from our President and Chief Executive Officer, Todd Penegor, followed by a review of our first quarter results and full year outlook by our Chief Financial Officer, Gunther Plosch. After that, we will open up the line for questions. With that, I will hand things over to Todd.
Todd A. Penegor - The Wendy's Co.: Thanks, Greg, and good morning, everyone. We are pleased with our continued sales momentum in the first quarter, where we delivered our 21st consecutive quarter of North America same-restaurant sales growth, a streak that continues to be unmatched in the QSR hamburger category. Same-restaurant sales increased 1.6% or 3.2% on a two-year basis, which included an approximately 50 basis point impact from the adverse weather we experienced in the first quarter. Our consistent results speak to the strength of our balanced marketing approach, along with continued awareness of our fresh never frozen beef. We continue to execute our global expansion plans by opening 33 new restaurants in the quarter. Our global systemwide sales continue to grow at a faster pace than our same-restaurant sales on the backdrop of solid sales growth and contributions from new restaurant development. 44% of the global system is now image activated, which is up from the 43% at the end of 2017. We remain on track to reimage approximately 10% of our global system this year. In addition, we continue to expect Image Activation to contribute approximately 60 basis points of benefit to same=restaurant sales in 2018. Our sales and profit growth, coupled with our core working capital initiative, led to strong free cash flow growth of 73% in the first quarter. The company also remains on target to achieve our current year financial outlook, which GP will talk through shortly. With that, I want to provide some context around our first quarter same-restaurant sales. We continue to stick to our playbook of utilizing a balanced marketing approach and remain laser-focused on driving profitable customer count growth. We kicked off the year strong by keeping our 4 for $4 platform fresh and ownable by expanding it to include eight different entrée items. We followed this up with an example of how our balanced marketing approach allows us to resonate with all types of consumers. We promoted our Spicy Chicken Sandwich and Dave's Double, which are two of our most popular menu items. A focus on the core, with great in-restaurant execution, continues to build the Wendy's brand story around craveable and fresh offerings. We then came back to value by launching a disruptive offer with our $1 Double Stack promotion. This compelling value offering, coupled with a premium LTO, the Smoky Mushroom Bacon Cheeseburger, was very successful and drove home the power of our balanced marketing approach. Customers responded immediately to the $1 Double Stack promotion, which brought millions of new customers into our restaurants and was a meaningful contributor to our same-restaurant sales growth in the first quarter. This also demonstrated that we can be disruptive with our fresh never frozen beef on both the value and premium side of the menu. We then returned as the official hamburger of the NCAA for March Madness to highlight our fresh never frozen beef. We also demonstrated why we are Deliciously Different than our peers through our social media platform and coupled this with a compelling mobile offer, a free Dave's Single, which drove incremental traffic to our app and, ultimately, into our restaurants. Our digital marketing efforts and social media engagement are delivering an outsize presence for the Wendy's brand. We were recently named Adweek's Hottest Digital Marketer, making it clear that Wendy's is resonating with consumers and differentiating our brand story in powerful ways. We even dropped a mixtape, which I hope you enjoyed, prior to our call this morning. We expect the restaurant space to remain competitive for 2018, but we continue to believe that QSR is the place to be. Build upon three core principles, speed, convenience, and affordability, QSR's share of total restaurant traffic continues to pick-up and represents over 80% of the entire industry. We don't see this trend changing anytime soon, as the consumer will respond to quality food offerings that are served quickly, that are convenient and are affordable. These are things that Wendy's continues to focus and deliver on. As I said previously, we have now grown same-restaurant sales in North America for 21 consecutive quarters. We are clearly resonating with consumers as we continue to bring in more customers, more often. According to The NPD Group, we gained traffic share in the QSR burger category in the first quarter, which is our 10th straight quarter of holding or gaining traffic share. We also outperformed the QSR sandwich category for each of the 13 weeks in the first quarter. Moving now to restaurant development, as I mentioned previously, we opened 33 new restaurants globally, with 16 coming from North America and 17 in our international markets. International remains on pace to achieve approximately 16% net new restaurant growth in 2018. And we have made progress towards this goal by opening eight net new units in the first quarter. Our focused approach to scaling up existing markets with strong franchise partners is fueling our momentum. North America was slightly negative on net development due to the pacing and sequencing of restaurant openings and closures within the year. We continue to build a stronger Wendy's system as our new restaurants continue to open up at AUV's of $1.8 million, while our closures have AUV's of $1.1 million. We remain committed to our net new restaurant growth target of approximately 1% for 2018 in North America. We continue to utilize the tools we have put in place, which are foundational for strong growth. Our partnerships with franchisees through joint capital planning, development commitments, a lucrative incentive program and strong economics drive the confidence across North America. We also have a Smart Design family of restaurants to choose from that caters to different trade area needs and delivers optimal financial returns. All of these are reasons to believe and why we continue to be confident in our global footprint expansion in 2018 and beyond. On the heels of new restaurant development and same-restaurant sales growth, we have delivered strong systemwide sales growth in the first quarter of 3.3% on a constant currency basis. In North America, systemwide sales growth outpaced same-restaurant sales by 120 basis points, driven by the positive benefits of our new restaurant development. International has showed significant growth year-over-year, mainly due to new restaurant development but also healthy same-restaurant sales growth. We continue to be excited about the great work being done by all of our restaurant teams across the globe. We remain encouraged with the growth of our delivery footprint. At the end of the first quarter, more than 25% of our North America restaurants are on a delivery platform, which is an increase of approximately 5% since the end of 2017. We continue to expand our footprint as DoorDash expands their coverage to more restaurants across the U.S. We continue to see incrementality, especially in the evening daypart, and higher average check sizes. We have also seen encouraging customer repeat, which speaks to the favorable customer experience, along with the appetite for convenience. All of this has led to a franchisee base that is very excited and one that continues to push us to expand as quickly as possible with delivery. In addition to our DoorDash coverage in the U.S., we have been partnering with SkipTheDishes on delivery in Canada to capitalize on the growing segment of food delivery. The early results of our rollout have been very encouraging. We look forward to continuing to leverage these partnerships and drive awareness. We'll also look for additional partners in an effort to expand coverage across North America more rapidly. As promised, we plan to provide updates on our digital platforms in 2018 as we have additional information. We have been reaching consumers through our mobile offers and this has been a successful way to increase awareness around our mobile app. Since the launch of mobile offers in the fourth quarter of 2017, we have increased our average monthly app downloads from 100,000 to 300,000. We are very pleased with the progress we have made in this area. The rollout of our mobile ordering platform remains a key focus area for us. We are working hard to ensure that our app and mobile ordering technology are working seamlessly together in order to support an effective national launch of mobile ordering across the Wendy's system in the future. We are continuing to pilot our rewards program and work through some of our early learnings from the test. Our objective with this program remains clear, drive more customers more often into our restaurants. Lastly, we want to provide a quick update on kiosks. We had kiosks installed in approximately 300 restaurants at the end of the first quarter. The company is taking the lead on this initiative, with 60% of company-owned restaurants having kiosks installed. We continue to see increased throughput during peak dayparts and higher average checks. This leadership will drive franchisee adoption behind confidence in the business case. In addition, we now provide various options of kiosks, with some lower investment countertop models that allows us to accept cash. As I close out, I want to bring us back to The Wendy's Way. We remain focused on delivering on our brand promise of delighting every customer, period. In order to bring this to life, we have to be focused on providing great value, investing in the quality of our food, delivering exceptional service and elevating our restaurants. When a Wendy's customer visits one of our restaurants, they need to know they will get the same great service and great food, no matter which restaurant they visit. When we do right by the customer, we bring our brand promise of creating joy and opportunity through our food, family and community to life and this will drive growth in the future. Our scorecard against The Wendy's Way is our brand health tracker, and we are seeing improvements across the majority of our metrics, which gives us confidence that our plan is resonating with consumers. And now, here's GP to take you through our first quarter financial highlights and outlook for the year.
Gunther Plosch - The Wendy's Co.: Thanks, Todd. As a reminder, we will be discussing all results versus the prior year on a recast basis, which is inclusive of the impact of revenue recognition and other P&L reclassifications. Please refer to the table in the back of our earnings release for a reconciliation of these recast financial statements. Adjusted revenues increased by almost 7%, driven by positive North America same-restaurant sales of 1.6% and increased rental revenue from franchise flips completed in 2017. Our company restaurants in the first quarter posted positive same-restaurant sales growth of 0.8%, or 1.6% on a two-year basis. It is also important to note that these results include an approximately 100 basis point negative impact related to weather. Our company restaurant margin came in at 13.9%, which is a 210 basis point decrease versus the prior year. The decrease was primarily driven by higher commodity cost, the adverse impact of weather and labor rate inflation, partially offset by pricing actions. The commodity inflation was within our expectations, as we had anticipated headwinds in the first half of the year, given the lapping of lower beef prices and inflationary impact related to fries. G&A expense was $50.4 million in quarter one compared to $51.3 million in 2017. This 1.9% decrease was primarily the result of lower professional fees. Adjusted EBITDA was $90.8 million in the first quarter of 2018, a 5.4% increase compared to the first quarter of last year. Adjusted earnings per share was $0.11 in quarter one, compared to $0.08 in the first quarter of 2017, a 37.5% increase. Free cash flow has increased 73% since the first quarter of last year, driven by a decrease in capital expenditures and an increase in cash flow from operations. So here in summary are the movements around adjusted EBITDA. The 5.4% increase in adjusted EBITDA was primarily driven by royalties, net rental income and G&A, partially offset by restaurant margin. Moving on to adjusted EPS results, the year-over-year increase of $0.03 was primarily related to the tax rate as a result of the favorable changes in the U.S. tax law and a benefit from increased stock options activity, each representing about half of the increase. Our first quarter 2018 adjusted effective income tax rate was materially lower than the range we had provided earlier this year, due to stock option exercises. It is important to remember that the timing and amount of stock option exercises can change materially quarter-to-quarter and can have a much more material impact on a particular quarter's rate than the full year. Returning cash to shareholders remains a top priority for us through quarterly dividends and our share repurchase strategy. We repurchased a total of 2.4 million shares for $39.4 million in the first quarter of 2018. As part of this, we completed our prior $150 million share repurchase plan and purchased $17 million against our new $175 million authorization. We ended quarter one with $188 million of cash on our balance sheet, which along with continued free cash flow growth, provides us the ability to effectively and consistently invest in the business and return cash to shareholders. Now, taking a look at our 2018 outlook, we remain confident in our marketing calendar and positively growing our same-restaurant sales by approximately 2% to 2.5% in 2018. We continue to expect to achieve our restaurant margin guidance of 17% to 18%. Positive same-restaurant sales growth, commodity pressure easing in the second half and expected benefits from our investment in restaurant efficiencies and our design to value initiative give us confidence that we will achieve our full year guidance. As mentioned previously, we had favorability in our tax rate in the first quarter, which flow through to our full year outlook. We now expect an adjusted tax rate of approximately 21% to 23% versus our original expectation of 23% to 25%. As a result of the tax rate change, our adjusted earnings per share has increased from $0.54 to $0.56 to $0.55 to $0.57, which is a 41% to 46% increase compared to last year. We remain on track to achieve our free cash flow of $220 million to $240 million, which is a significant increase of 29% to 41% from 2017. With that, I will hand the presentation back over to Greg before we open up for Q&A.
Greg Lemenchick - The Wendy's Co.: Thanks, GP. I'd like to quickly review some upcoming events on our Investor Relations calendar. On Wednesday, May 16, GP, Lauren Cutright and I will be in Chicago for a one day road show hosted by Alton Stump of Longbow. On Thursday, May 24, we'll travel to Toronto for a one day road show hosted by Matt McGinley of Evercore. The following week on Wednesday, May 30, Todd, Lauren and I will be attending the RBC Capital Markets Consumer and Retail Conference hosted by David Palmer. Then on Thursday, May 31, we will be attending the Bernstein Annual Strategic Decision Conference in New York hosted by Sara Senatore. If you are interested in meeting with us at any of these events, please contact the respective sell-side analyst or equity sales contact at the host firm. And finally on Tuesday, August 7, we plan to release our second quarter earnings after market close and host a conference call the following morning, on August 8. With that, we are now ready to take your questions.
Operator: Your first question comes from Jeffrey Bernstein with Barclays. Your line is open.
Jeffrey Bernstein - Barclays Capital, Inc.: Great, thank you very much. Two questions, one, just on the comp side of things, just wondering if you can give any color, seems like the industry benefited from a nice uptick as they moved through the first quarter. Just wondering whether you saw something similar or any kind of directional color you can give and perhaps prioritize the core drivers that give you confidence to still hit the elevated comp forecast for the full year. And then, I had one follow up.
Todd A. Penegor - The Wendy's Co.: Yeah, Jeff, if you took at the industry, on total restaurant traffic, if you talk about traffic first, the start of the year's been slightly down. QSR has been in a little better spot, with traffic being slightly up. But not seeing a huge tailwind from a traffic perspective. You're seeing a couple of points of check and mix across the category, but it's really competitive, as you know. Not only from a competitive landscape, but from a consumer really trying to get a sense of what does all the tax reform and how do they feel about getting out more often. Clearly, the winter hasn't helped. We had a lot of folks that had been pent-up during the winter months. So it was a bit of a challenge for all of us in the industry. The great news is, we continue to break through. We continue to tell our message with our strong high-low calendar. We had some disruptive promotions with the $1 Double Stack. And we continued to not only drive 21 consecutive quarters of same-restaurant sales growth, but we continue to bring in more customers, more often into our restaurants. As you look at the rest of the year, we feel good about the calendar we've got put in place. We've got a consistent focus on our fresh never frozen North American beef. We'll continue to come back and promote the core, as we've been doing to start the year. We feel good about what we have on the premium innovation front. And we know that the 4 for $4 continues to be fresh and ownable to Wendy's and resonates with our consumer base. And you'll see things like what we did with the $1 Double Stack and now with $0.50 Frosty in the market, where we'll pull some disruptive promotions to continue to bring more customers into our restaurants and do that in a profitable fashion. So we feel good that we've got a balanced calendar. The great news within the first quarter, our sequential one-year comps started to improve from P1, P2 to P3. And we really exited the quarter with strong, not only one-year, but a really strong two-year comp. So we feel good that we've got some nice momentum leading into the rest of the year.
Jeffrey Bernstein - Barclays Capital, Inc.: Got you. And then, just my follow-up question was more on the margin side. I mean, I recognize at least restaurants margins are a small part of your business at this point, but it is helpful to assess perhaps franchisee profitability. Margins were down a little over 200 basis points in the first quarter, seems like there was deleverage on food and labor. It would seem like both are seemingly pressure points for the full year, although I know you mentioned maybe the COGS pressure eases a little bit. But what gives you the confidence in the effectively flattish margin for 2018 at the midpoint? Just seems like comps are, perhaps, expected to be relatively steady to up-tick a little bit, but do you expect a maybe easing of the cost pressures or additional price? Or is there something with refranchising that gives you confidence that the margins are going to reverse course so meaningfully the rest of the year?
Gunther Plosch - The Wendy's Co.: Hi, Jeff. On the margin picture, you're right. Margin was down in the first quarter 210 basis points. A couple of facts for you, food and paper, we actually had 5% inflation. That was really on beef and on fries. We had 4% labor inflation that translated into the P&L to about 20 basis points of headwind on margin. And then you see on occupancy cost, about 50 basis points of headwind. A lot of it is, obviously, the winter weather, the big snow removals, all that stuff that goes on there, has tracked our margin down. We remain confident to keep the margin guidance at 17% to 18%. A couple of things to maybe think about, last year, our year-to-go margin was about 17.1%. In order to get into the guidance range, we need to achieve 18% year-to-go. So we need to expand year-over-year about 90 basis points. What's to be liked? First of all, there is no inflation on year-to-go. Right? They're going to be a little bit inflationary in the second quarter, deflationary in the second half. We have clearly higher sales leverage going on as we are accelerating our growth in company restaurants. We have still the annualization of our productivity initiatives that we started off. And last but not least, we are also going to get still the pricing benefit from the pricing we have taken middle of last year and beginning of this year.
Jeffrey Bernstein - Barclays Capital, Inc.: Great. Thank you very much.
Operator: Your next question comes from Jake Bartlett with SunTrust. Your line is open.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Great. Thanks for taking the question. Todd, on the last call, you mentioned that you thought that same-store sales would be pretty even, that the cadence would be pretty even throughout the year. We've started out a little weaker in the first quarter here, but would you characterize the rest of the year as similar to what you were thinking before or do you feel like you're going to have fairly even comps throughout the rest of the year?
Todd A. Penegor - The Wendy's Co.: Yeah, Jake, we still do feel like the rest of the year, we've got pretty even comps. We look at things on pressure versus prior year, but we also look at what's happened on a two and a three year basis. And we feel good that we've got the plans, as we said at the beginning of the year, to continue to deliver that. The challenge, quite honestly, in the first quarter for us was some of the headwinds on weather. And I know everybody in the industry had headwinds on weather. And we talked about 50 basis points for the system and 100 basis points for company restaurants, with our concentration from Columbus to Boston to New York, where it was a tough winter. But if you think about where our run rates were going during some of our key promotions, $1 Double Stack, in particular, end of February into early March, that was probably right into the teeth some of the worst weather across a lot of our markets, with the nor'easters hitting every single month. So you start building great momentum and then things slow and then you start picking that momentum back up. So we feel good that we've got strong underlying health in our business. We see it with nice continued growth across our core and premium side of the menu. And we feel good that our value programs continue to resonate, even with all of the competitive pressure out there. We continue to break through all that clutter and continue to bring folks in, which we're proud of. And when you look at our first quarter, Jake, what we're really proud of is because of all the growth we've had for the last five years, if you look at the hamburger category, excluding breakfast, both from a traffic and from a dollar share, we're at our highest share levels in the course of the last five years. So we're building a really healthy business.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Great. And then, we've been in this fairly intense value environment for over 2.5 years now. Are you seeing any signs that consumers are responding a little bit more towards the premium side of the menu in some of the promotions you're doing there, any signs that the consumer is kind of freeing up their wallet a little bit and spending higher up in the menu?
Todd A. Penegor - The Wendy's Co.: Hopefully, we get a better read on that question as the weather starts to turn here. It was so choppy during the winter months, it was really hard to get a good view to the underlying core health of the consumer and the business, but we've seen consistent progress and momentum on things like our premium hamburger business. If you look at the last couple of years, with all the messaging on fresh never frozen North American beef, we continue to see folks coming into our restaurants for that offer. We saw a nice performance on our bacon mushroom sandwich and the smoky bacon mushroom sandwich in the first quarter. We've got Southwest avocado, both salads and sandwich, in the markets at the moment and we're seeing those things resonate with consumers, but I think it is that balance that you need to have. You got to have good core. You got to have good premium. And value is going to continue to be important in the competitive landscape that we compete with, not just folks that are in traditional QSR, but as we battle to get against our biggest competitor, food at home, to make sure we can get folks out and into our restaurants.
Jake Rowland Bartlett - SunTrust Robinson Humphrey, Inc.: Great. Thank you very much.
Operator: Your next question comes from Michael Gallo with C.L. King. Your line is open.
Michael W. Gallo - C.L. King & Associates, Inc.: Hi. Good morning. My question, I guess when I look at the mix of products overall, I was wondering. You guys have built a very strong business around salads, but did you see any pressure from some of the headline issues around romaine lettuce, where perhaps the customer that might have come to Wendy's for a salad didn't come as much or did you see some shifting out of salads into other products? Thanks.
Todd A. Penegor - The Wendy's Co.: No, good question, Mike. I mean, with the romaine messaging that was out there, the great news is we had shifted away from Yuma, Arizona early in the year and we were up into California. We had a little bit of disruption as we were making the shift from a supply perspective early in the quarter. We've got procedures in the restaurants where we can shift around with other blends of lettuce to make sure that it doesn't become an issue with consumers. And we had our team really well-trained to make sure that they could tell the consumer where our lettuce was sourced from. So we didn't see much of a headwind when it came to all of that messaging out there in the salad business. And we feel good that we continue to bring news. I mean Southwest avocado salad is a salad we're excited about that's clearly resonating with consumers right now.
Michael W. Gallo - C.L. King & Associates, Inc.: Okay, great. And then just a follow-up question on delivery; what percentage of your company stores have delivery? Is it similar to what you saw overall? Do you expect delivery to be a meaningful comp contributor this year? And what are you seeing from a margin standpoint on delivery? Thanks.
Gunther Plosch - The Wendy's Co.: Hey, Mike, the footprint of the company restaurants, the coverage that we have on DoorDash is about the same with the national average. So there's not really a difference. You know, we have 25% of our restaurant covered. We are making progress. Remember, end of the year, it was 20%, but it's still fairly small. The underlying bones of the business are attractive to us. We are seeing incrementality. We're seeing incrementality at the evening daypart. We see higher check sizes, but it's not yet meaningful enough for it to be baked into our SRS guidance, but it's clearly a reason to believe that the tailwind, that it could help accelerating our SRS on the back end of the year.
Michael W. Gallo - C.L. King & Associates, Inc.: Okay, thank you.
Operator: Your next question comes from Brian Bittner with Oppenheimer & Company. Your line is open.
Brian Bittner - Oppenheimer & Co., Inc.: Thanks, and good morning, guys. First question is just again on the company-owned margins. Can you let us know what the totality of snow removal in the 100 basis point comp headwind in the quarter was to those company-owned margins so we can kind of see what the cleaner margin was for the quarter so we can better think about the rest of the year?
Gunther Plosch - The Wendy's Co.: Hey, Brian, the SRS headwind was about 100 basis points. You can assume a flow through rate of about 40% plus a little bit of additional expenses for snow removal and the like. So it's probably north of 50 points.
Brian Bittner - Oppenheimer & Co., Inc.: Okay. And just two questions on sales. One, can you just tell us how much you outperformed that NPD sandwich category in the first quarter? And then, following up on that, when a competitor starts to run a strategy that is a focus of another competitor's core equity, which we're kind of seeing in fresh beef, it can sometimes, what we see in the past, provide a lift and not a dent to the company that has been doing it for much longer. And I know it's really, really early here, but is there early reads you can provide to us or maybe some things that you saw in test markets on how we should think about it impacting your business, and whether it could actually maybe help your business or not?
Todd A. Penegor - The Wendy's Co.: Yeah, Brian. I guess two pieces, one, I won't get into the specifics on the outperformance versus NPD. But we feel good that we've gained some meaningful share from a traffic perspective, but we also gained some share, to a little lesser extent, on the dollar side. So gaining share on both, so to give you a little bit of the relative magnitude. On the fresh beef messaging, it's still early. So the competitor just turned on their full national support this week on fresh. We've really looked at where they've been out in eight markets over the course of the last year, and we haven't seen an impact really either way, positive or negative, to our business, but they haven't really turned on a lot of support in those markets. It's more been at the restaurant level. It does give us a platform to continue to tell our story, right, that we've been fresh never frozen North American beef in every restaurant, across all of our hamburger line, every single day for almost 50 years. And that's why we're proud that we can not only promote things on the premium side and talk about fresh, but we can do it on the value side just as well and have a supply chain that can support all of that. So time will tell on how it plays out, but it does bring a big spotlight back. And we've seen that time and again in media and social media dialogue that it comes back to, well, Wendy's are the folks that really own fresh across their entire lineup. And we'll keep screaming that from the rooftops and making sure that we hold others in check on what's really happening in the restaurant, do they provide fresh on everything, every day in every restaurant.
Brian Bittner - Oppenheimer & Co., Inc.: Thanks.
Operator: Your next question comes from Alton Stump with Longbow Research. Your line is open.
Alton K. Stump - Longbow Research LLC: Yeah, thank you and good morning. Just to get back to the competitive environment, obviously, you've got of course not just McDonald's, but almost everybody in the QSR space now discounting heavily. As you look out over the rest of the year, what's your view on that? Do you think we'll see the category stay competitive, or at some point, in the course of commodity costs going up, labor, will the overall category thing start to turn towards a bit more rational behavior?
Todd A. Penegor - The Wendy's Co.: Yeah, our assumption is it's going to continue to be very competitive the rest of the year, right. As GP said earlier, you're seeing commodity pressure flatten out a little bit in the back half of the year. Still, all of our biggest competitor is food at home. So you got to continue to create reasons for the folks to get out of the house and into the restaurant. But we are seeing some encouraging signs from a consumer perspective, right. Disposable personal income is starting to increase, not as high as it's been on historical levels, but moving in the right direction. And that's always good for our business. There are still headwinds out there when you start to think about rents and healthcare and gas prices moving up. So that is a balance that hits against the increases in disposable personal income. So the way we've planned our calendar for the year is that it's going to be continuing to be very competitive, but we're going to continue to play our game. It will be balanced and it will be talking about our core attributes of our brand fresh, not just across our hamburgers but across everything we do in that restaurant. We'll keep bringing some very interesting innovation to market, things that only you can do at Wendy's. And I would say that the Southwest Avocado Chicken Sandwich is something that's unique in the category. And we'll continue to create news on the value side. But it is that balance and the consistency of that that drives to sustainable predictable growth for our business.
Alton K. Stump - Longbow Research LLC: That's helpful. Thanks, Todd. And just one quick follow-up, if I could, just the $1 Double Stack deal that you did I think over three weeks in the first quarter, I was curious sort of any color on how that went and if that might be something that you might bring back at some point later this year?
Gunther Plosch - The Wendy's Co.: Yeah. We were happy with the $1 Stack promotion. It brought millions of consumers back into our restaurants. Obviously, it was held back a little bit, right. We had three northeasters coming through as we executed against the promotion. So could it have been even better, for sure, but it definitely brought a lot of customers into our restaurants.
Todd A. Penegor - The Wendy's Co.: But, Alt, we got a lot of tools in our toolbox, right, you got the $1 Double Stack that we had over the winter. We've got $0.50 Frosty that we've brought back. We've got news that we've created around 4 for $4 and we can continue to create news. And we got a lot of things that we continue to test, both on the premium and the value side of the menu. So we feel like we've got a nice toolbox. We've got the flexibility to check and adjust quickly to stay competitive quarter-after-quarter and that's why you're seeing the consistency of our growth over the last five years.
Alton K. Stump - Longbow Research LLC: Great. Thank you both.
Operator: Your next question comes from John Glass with Morgan Stanley. Your line is open.
John Glass - Morgan Stanley & Co. LLC: Thanks and good morning. My question has to do with the advertising weights and cadences this year. It was well-telegraphed that value was going to be a big deal in the first quarter. And I think some brands may have over-weighted the first quarter in terms of maybe advertising spend, just to defend their positions. Did you do that or was it a relatively consistent year-over-year? And as you think about the second quarter, are you preserving some of that dry powder to respond, if needed, to competitive intrusion around fresh beef?
Todd A. Penegor - The Wendy's Co.: Yeah, John. If you look at our mix on the amount of pressure from an advertising perspective that we had on premium versus value, it was very consistent in the first quarter of this year with where it's been the last several years, so we continue to play our game. It's more focused on telling our true points of difference around fresh and in our core items, with a little support on the value front. And you're right. What we saw from all of our tracking from a competitive landscape, the traditional QSR players and other folks had swung the pendulum a lot further towards value. So we feel good that it's a balanced approach and we're playing the long game, right? We're playing a game to make sure that we have consistent predicable growth year-after-year-after-year, rather than chasing anything in the short-term. And the way we thought about our calendar, it's the way we always think about it. We look at it versus prior year. We look about it against a competitive landscape. We look at it against a consumer landscape. And McDonald's has telegraphed fresh beef for quite some time, just as they did what they were doing on the $1 $2 $3 Menu, so we've been prepared. So we're in a position to make sure that we continue to tell our story and stand out for what we provide in our restaurants every single day. And you saw some of that start in the social media landscape yesterday with a lot of the dialogue that's been happening. So I would encourage you to get out and look in Twitter.
John Glass - Morgan Stanley & Co. LLC: Okay. Thanks. And then just, GP, on the closures in North American system, there was an uptick and maybe some of this was just timing, are the closures for the full year roughly similar to 2017 or how do we think about the closures in the North America system in total this year versus prior years?
Gunther Plosch - The Wendy's Co.: Yeah. A couple of things for you, first of all, the closures and openings are in line with our budget and expectations, so we are, as usual, a little bit back-end loaded in terms of how we're building net new restaurant. So we remain confident that we get to our 1% growth in North America and the 16% growth in international. And I would say closures are about in line with last year.
John Glass - Morgan Stanley & Co. LLC: Thank you.
Todd A. Penegor - The Wendy's Co.: And, John, it is a healthy mix, as we said in the prepared remarks. Right? The opening stills are driving AUVs about $1.8 million. Closures are about $1.1 million and it's good. We've got about a third of the portfolio that's just portfolio management, where the lower volume restaurant should close to move to a healthier trade area. We've got some lease expirations that we manage through. And closures are seemingly always a little more front-end loaded during the course of any calendar year. So we've worked through that piece, but in line with what we expected.
John Glass - Morgan Stanley & Co. LLC: Got it. Thank you.
Operator: Your next question comes from David Palmer with RBC. Your line is open.
David Palmer - RBC Capital Markets LLC: Thanks. First, a question on Image Activation, wondering about how those stores, the IA stores, do in year two, the thought being that the cumulative lift might be greater than what you just typically see on these one year quoted lifts?
Gunther Plosch - The Wendy's Co.: Hi, Dave. Image Activation is remarkably consistent, even in year two. We see this phenomenon, depending on the investment levels you have, you see a one-time lift of 7% to 10%. And then, literally from that basis, the restaurants are growing then in line with the system. So we've seen this over and over again. We have done this now 2,500 times and there's kind of no change in trend.
David Palmer - RBC Capital Markets LLC: Great. And just a question on your brand scores. You see your own internal metrics and how you benchmarked others and quality is a very important metric for Wendy's and its brand. Other burger guys are raising their game on food quality. Do you have a game plan to continue to raise your food quality in certain ways, whether it's cooking or food specs and other ways to keep the distance between you and the other burger guys in particular? Thanks.
Todd A. Penegor - The Wendy's Co.: Yes, David. What we do and it's a big part of The Wendy's Way. When you think about making sure that our consumers say that they have food I love when they come to Wendy's, Quality is our Recipe is on our building. And consumer is very aware of the quality of the food that they consume. And the work that we've done on making our chicken more tender and juicy last year, the work that we continue to do with our procedures in our restaurants to make our hamburgers more hot and juicy, those are just some of the examples, but you can go across our entire lineup, whether it's chicken, whether it's hamburgers, whether it's fries, whether it's salads. But we've got work underway to continue to renovate those products to make sure that our quality advantage continues to stand out. And we're actually seeing that in our brand health metrics. I know your report came out very consistent with ours. We continue to improve on the brand health perspective across the board, which is good to see, because it's very consistent against all four elements of The Wendy's Way, but our opportunity remains to continue to create consistently great experiences across all of our restaurants. We've made a lot of progress on improving our overall satisfaction, but when you look at the consistency gap, making sure that you have a consistent meal in every single restaurant that you hit across the entire country, that's an opportunity for us. We're seeing some improvement in brand health on that front, but that's a big focus for us. And I think it can really make a difference for the next several years.
David Palmer - RBC Capital Markets LLC: Great. Thank you.
Operator: Your next question comes from Matt DiFrisco with Guggenheim. Your line is open.
Matthew DiFrisco - Guggenheim Securities LLC: Thank you. I just had a couple of follow-up questions. I guess, with the comp on the company versus the franchise, is it purely weather that is the differential, because obviously you've been a little bit leading the pack there with the kiosks as well as more Image Activation coverage from the company-owned store base for a longer period of time? So I would have expected a little bit more of a narrower gap.
Gunther Plosch - The Wendy's Co.: Hey, Matthew, you are right directionally, right. We have a little bit less tailwind on Image Activation. The system benefits by 50 basis points. The company benefits by only 20, so that's a 30 point gap. And then, weather, obviously, was worth about 50 basis points differential, so that kind of reconciles to 80 basis points gap that we have. We are proud of the fact that actually after third and fourth quarter in the company, where we had negative comps, we actually turned this around in quarter one. And we feel confident and optimistic that the growth in the company restaurants is going to accelerate for the year-to-go.
Matthew DiFrisco - Guggenheim Securities LLC: Excellent. And then I guess, you did hold the guidance, but you did lose $2 million of restaurant margin due to the weather, I guess, in the lower margins there. Is there something that's going to pick that up or does that sort of take away from maybe what could have been potentially some upside to your guidance initially?
Gunther Plosch - The Wendy's Co.: We feel comfortable with our guidance range. You know our guidance range is actually fairly wide, right? We have 2 points of growth differentials. So to lose a little bit on restaurant margin in the first quarter doesn't really sway our fiscal year outlook by that much.
Matthew DiFrisco - Guggenheim Securities LLC: Excellent. Thank you very much.
Operator: Your next question comes from Gregory Francfort with Bank of America. Your line is open.
Gregory R. Francfort - Bank of America Merrill Lynch: Hey, guys, I had two questions. Just the first is on I think in your fee and other line, you guys are now starting to collect like an IT service fee from franchisees. Can you help me understand sort of the structure of that and how meaningful that's going to be? And then my second question is just on international. I think it looks like the comps must be outpacing the domestic business. What's going on there, sort of any sense of a magnitude of that? And where are the biggest opportunities you're looking at right now to sort of expand units?
Gunther Plosch - The Wendy's Co.: So on the IT service fees, we really started this last year. From an accounting point of view, we are breaking that out separately. It's really we are charging for foundational services, everything around security and other foundational pieces that we have to make sure our systems are running safely. It's actually a separate company, where we're having a separate profit and loss statement. It's being reviewed with franchisees on a regular basis to make sure that we are demonstrating that we are passing on only cost and actually making minimum margin to no margin on that part of business.
Todd A. Penegor - The Wendy's Co.: And on the international front, you can clearly see it in the numbers that the same-restaurant sales growth across the international is outpacing what you have in North America, right? We don't give out the specifics, but we're 1.6% system growth across North America. We're 1.8% if you factor in international. So that is a nice tailwind and it's broad spread, so we're seeing health along a lot of our core markets. And what we've been pleasantly surprised is the recovery across a lot of the islands. Puerto Rico, Virgin Islands has been a little better than we had anticipated from an international front. From a growth perspective, it really is a focus on those seven core markets that we continue to talk about. But in the first quarter, specifically, you saw continued growth in Japan with the First Kitchen conversions and we saw some nice unexpected growth in El Salvador. So a local concept closed and we have a great opportunity to convert seven restaurants in that market to Wendy's restaurants. So we'll continue to take advantage of those opportunities, too. But as you think about the rest of the year, it's really scaling up those seven core markets that we continue to be focused on.
Gregory R. Francfort - Bank of America Merrill Lynch: Great, thank you.
Operator: Your next question comes from Will Slabaugh with Stephens, Inc. Your line is open.
Will Slabaugh - Stephens, Inc.: Yeah, thank you. Wanted to ask you about the expansion of the 4 for $4 that you did early in the quarter and how that played out through the quarter, if that met internal expectations or not, and then, also, any impact on food costs that may have had positively or negatively just considering what I assume were some consumer shifts around that, the eight different options you now have for the entrée.
Gunther Plosch - The Wendy's Co.: Hey, Will. As usual, right, we went through our three green process. It was operationally really easy. It's all existing offerings. From a consumer point of view, we really addressed the need for more choice within the 4 for $4 pillar and financially actually it did make sense, because as we planned it in the various entrée items, it actually created a little bit of a margin lift for us within the 4 for $4 construct. So from a structure point of view, it made sense. As we launched it behind advertising in the first quarter, it basically delivered what we had thought we would get out of it when we tested it.
Will Slabaugh - Stephens, Inc.: Okay. And I want to follow up on the comment you made about mobile ordering and you said you're planning a national launch. I was wondering if you could talk about if there's any sort of timeline that we could speak to yet about that and then, what you're currently working through to make sure that's operating as you would like before you do launch that nationally?
Todd A. Penegor - The Wendy's Co.: Yeah, well, I wouldn't want to tip our hand to the competitive landscape about when and how we're going to do that. What we do is continue to ready our restaurants. So the technology is set, but what we really want to make sure is you have a great experience, especially when you come into the restaurants, so making sure that we've got order pay separated from pick-up within those restaurants. And we want to make sure that we have all the elements really working to have a great mobile experience. And as you know, we've been testing in the first quarter, our loyalty program. That loyalty program is a entirely digital-driven mobile ordering experience. And we're starting to get some of the early learning. So we're getting an understanding of how do we need to check and adjust and tweak a little bit to really optimize that program. So when all of those pieces come together, we'll bring our support to that story. The great news is we continue to drive more folks into our app. So with our mobile offers that we launched late last year and all the tagging with it on our advertising through the NCAA promotion, as we said in the prepared remarks, you're seeing some nice upticks in app downloads. So we're at least getting users ready, so when we do turn it on, we can get off to a fast start.
Will Slabaugh - Stephens, Inc.: Great, thank you.
Operator: Your next question comes from Sara Senatore with Bernstein. Your line is open.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Great, thank you very much. I have question about some of these digital initiatives, kiosks and delivery. And just thinking about your approaches compared to some of the others that we're seeing in the market, because there seems to be a wide variety, so, first, in terms of the kiosks, you're at 300, but it sounds like the company is leading. How do you think about investing with franchisees on that front? And, in other words, does accelerating the rollout of that kind of digital initiative or accelerating remodels justify spending more with franchisees, rather than maybe allowing them to do it at their own pace? And then a similar question on delivery, you're seeing incrementality, expect it maybe could be a contributor to same-restaurant sales, but I think you've chosen to have the customer bear more of the delivery cost than some other chains might be doing So there, too, how are you thinking about elasticity of demand, reaching the sales mix you want versus the profit margins you need? Thanks.
Todd A. Penegor - The Wendy's Co.: Yes, Sara, both good questions. So on the kiosk front, similar to what we did in IA, is we want to really make sure we create the confidence in the business case by having the company really lead the initiative. And we are seeing increased throughput. We're seeing higher average checks. We've got about 10% of the orders within the dine-in now happening off the kiosks. So we're really trying to make sure that the customer really understands how easy that experience is, to then really create that compelling business case for our franchisees. We think the economics stand on their own. It's less than a two year payback in what we're seeing so far. We said that in the past. So we don't think it needs to be incented. We got a lot of other growth initiatives around new restaurant development that we think is a more pressing need, but those are always tools in the toolbox with our cash flow that we could look at, at some other point, if it can drive accelerated growth and return for all of us. On the delivery front, our biggest opportunity is still driving coverage and awareness. We've crept up the coverage from 20% to 25% of the system, but what we need to do is create awareness. And any time that we create some awareness, whether it's locally or nationally, we see a nice uptick. And that's where we'll continue to work with our local advertising funds, international advertising funds to drive that. From a consumer perspective, they feel really good. We still get very high marks. We're over 4.5 out of 5 stars a delivered customer from an overall satisfaction. And we score all the metrics on customer satisfaction at still the absolute highest of everything that we do. So we feel good that the consumer proposition works well for them. It's really an awareness play. And it's easy to get excited to get behind it, because that economic model seemingly is working for the consumer, but importantly, is working for our restaurant operators. So they get excited to get behind it, not just from the incrementality standpoint, but from the margin perspective, too.
Sara Harkavy Senatore - Sanford C. Bernstein & Co. LLC: Thank you.
Operator: Your next question comes from Matt McGinley with Evercore ISI. Your line is open.
Matthew Robert McGinley - Evercore ISI: Hi, good morning. You noted 4% labor inflation in the first quarter relative to the full year guide of 3% to 4%, but you only had about 15 basis points of deleverage there, which I would think is good relative to the comp coming a little bit lighter than the full year. So the first question is what did you do with productivity or in managing that labor in the quarter? And the second question would be given the implied labor rate of increase is less on a go forward basis and your comp presumably would be higher, does the margin rate in terms of labor look better as the year progresses?
Gunther Plosch - The Wendy's Co.: Yes. On labor, we clearly benefited from initiatives we started last year on optimizing our labor guide. We had rolled out a couple of kiosks and we also implemented automated dishwashing in a lot of our company restaurants. So that started to help us. I'd also point out, don't forget from a margin point of view, the price increase we took, obviously, helped to kind of soften the headwinds from a margin perspective. As you go for the rest of the year, we would expect the labor to stay within the 3% to 4% inflation. And again, as we are accelerating our top-line growth, that actually should help us to have even less headwinds on the labor side for the year to go.
Matthew Robert McGinley - Evercore ISI: Okay. Thank you.
Operator: Your next question comes from Andrew Strelzik with BMO Capital Markets. Your line is open.
Andrew Strelzik - BMO Capital Markets (United States): Hey, I just have a couple questions. You noted in the prepared remarks some of the reasons that you have confidence in hitting that 2% development guidance, but I'm wondering at this point, not quite halfway through the year, but almost there, how much visibility do you actually have into getting that number through commitments or otherwise? And then the other part of that is, just on the international closures, maybe it's not any different than recent quarters, but it stuck out to me this quarter. So just some color behind that would be great. It seems like international should be kind of in the early days and seeing the closures, so I'm just wondering what's going on there.
Todd A. Penegor - The Wendy's Co.: Yeah, no, I think we have a lot of visibility to where we're going on the new restaurant development in North America. We've got development commitments. We got the joint capital planning. And it really gets down to pacing and sequencing throughout the year as we try to work through the approval process with the local markets that we're trying to get those restaurants in place. So we feel good that we've got a good pipeline for 2018 to deliver on that commitment. With a development timeline, you're going to have to have a strong pipeline to get that number, at this point in time. So we feel good that we've got that in place. And in fact, we're really working to try to start to solidify our 2019 pipeline at this point of the game, so we can get further ahead of it. From an international perspective, there's always a normal course where there's some open and closures. Again, in the pacing and sequencing, more of the closures seem to happen at the beginning of the year, with less throughout the course of the year. But the great news is, that's just normal course of, did we have the restaurants in the right trade areas in those markets, because we feel really good. We haven't had to exit a market now for the last several years, which hasn't been our history. Right, we've opened markets, had to close markets. We feel like we've got the right markets. We've just got to make sure we got the restaurants in the right locale to make sure that they're profitable, so we can really stimulate growth moving forward, so all's on track on that front.
Andrew Strelzik - BMO Capital Markets (United States): Great. And then, one more, if I may here. We can't obviously see the franchisee margin structure and how that's evolving, but assuming that it was under some pressure like your own, I'm wondering if you're sensing any concern from the franchisee base about where the margins are headed. And in particular, if you think there's risk that they might start to tick-up the pricing a little bit, obviously with value being so important, wondering how those conversations are going.
Todd A. Penegor - The Wendy's Co.: Yeah. We've got a great partnership with our franchise community around pricing and provided a lot of insights, and really have them educated on where the right spots are to take price. They've been very disciplined. We've been very disciplined as a company system over the last several years. So we've preserved a lot of that pricing powder in the past. We're starting to use some of that right now. There is pressure on the restaurant economic model. We all see it, right? You got labor headwinds, access to labor, cost of labor. But we have a lot of other initiatives in place, as GP talked about, design to value, some automation, front of the house, back of the house. And then our biggest lever, how do you continue to bring in more customers more often through the course of the year, to continue to manage some of those headwinds. So price will play a role, but it has to be balanced between price, productivity and cost initiatives, really make sure that the full experience continues to resonate with the consumer.
Andrew Strelzik - BMO Capital Markets (United States): Great. Thank you very much.
Operator: Your next question comes from John Ivankoe with JPMorgan. Your line is open.
John William Ivankoe - JPMorgan Securities LLC: Hi. Thank you. I think a follow up actually for the last couple of questions, you did mention in prepared remarks restaurant efficiencies and productivity. And I know you kind of mentioned automation including automated dishwashers as maybe one of those, but can you go into more detail? As do you think about 2018 and 2019, how many different types of projects, whether big or small, that you have for the Wendy's system? And maybe over a multi year basis, how much you think that could add to basis points to offset some other cost pressures that exist in your business, especially labor?
Gunther Plosch - The Wendy's Co.: Hey John, we have a fair amount of initiatives. If I count them all down, it's probably eight to 10 different initiatives, all varying sizes. It goes to from small things like dishwasher implementations to bigger things like really breaking through on the labor model and the labor guides, to real big initiatives to do a little bit more automation on the kitchen side, especially the frying and grilling operations, so varying degree. The projects are in various status. We have luckily the scale where we have our industrial engineers and engineering departments that are working with suppliers and our industrial engineers to make sure we are pacing and sequencing those initiatives out.
John William Ivankoe - JPMorgan Securities LLC: It sounds interesting. So how big of an opportunity are we talking and over how many years?
Gunther Plosch - The Wendy's Co.: It's all spread out over the next two to three years. Some initiatives are as small as five to 10 basis points. There's some initiatives on its own, they're probably 20 to 30 basis points. So when you add them all up, it becomes sizable.
John William Ivankoe - JPMorgan Securities LLC: Like a couple of hundred basis points, to put words in your mouth?
Gunther Plosch - The Wendy's Co.: You cannot put words into my mouth, no.
John William Ivankoe - JPMorgan Securities LLC: Okay, thank you. I have to try.
Operator: Your next question comes from Jon Tower with Wells Fargo. Your line is open.
Jon Tower - Wells Fargo Securities LLC: Great, thanks for taking the question. First on sales, I was hoping you could talk about how your traffic performs relative to the category, the QSR burger space, say, when the company's not on air promoting value nationally, say though the 4 for $4 or the LTOs like the $1 Double Stack or the $0.50 Frosty's? Then, I have just one quick follow-up.
Todd A. Penegor - The Wendy's Co.: Traffic performs very nicely during the course of a quarter, no matter whether we've got the premium or the value because we do have a balanced approach. We always have a premium and a value message going. If you have a disruptive promotion, something like a $1 Double Stack, clearly you see some of those trends change a bit, but we feel very good about our traffic share growth in the first quarter.
Jon Tower - Wells Fargo Securities LLC: Okay. Then, just quickly on new store commitments, I think on the last call, you talked about in terms of getting to your 2020 goals, you're about 50% of the way with commitments in North America and then 40% in international stores. Is there any update to those numbers here?
Gunther Plosch - The Wendy's Co.: There was not a significant increase, right. Last time we guide, we talked about this looks kind of middle of February. We made a little bit of progress on it and we remain confident as we look at our 2020 outlook, that the restaurant count is still the right one for us.
Jon Tower - Wells Fargo Securities LLC: Okay, thank you.
Operator: Your next question comes from Jeremy Scott with Mizuho. Your line is open
Jeremy Scott - Mizuho Securities USA LLC: Hey, thanks, good morning. Just want to ask about delivery and pacing, that you're 25% penetration, up 5%. Do you have another couple of sprints coming in the short term or are you keen to drive awareness first in your current coverage, maybe push through that novelty stage, get to a sustainable rate? And then just on that, I assume some of that resistance is due to your partner, not necessarily how many stores do you want to cover in the current framework? How many stores can be covered by DoorDash today? And does it make sense to take on other partners that may have fortressed regions that you can't attack at this moment?
Gunther Plosch - The Wendy's Co.: Hey, Jeremy. From a coverage point of view, DoorDash, the coverage area is touching about 2,500 Wendy's restaurants, so that's about a 40% share from a trade area point of view. From a real coverage with drivers, we're getting to this 25%. So is it conceivable that with our existing partner, DoorDash, we can get up to 40% coverage? It's absolutely possible. It depends how successful are they to hire drivers and the likes. But we are not ruling out exclusivity for total U.S. with DoorDash. We are clearly exploring other options as well, because as Todd said beforehand, consumer satisfaction is very, very high. When these orders get delivered, the consumer does not have to go through the hassle of driving to a restaurant and pick up food, so I think this drives customer satisfaction incrementality with above average check sizes. We are interested to continue to pursue that opportunity.
Todd A. Penegor - The Wendy's Co.: And we'll keep pushing, Jeremy, to drive awareness in the local markets. And we don't have to get to a critical scale. I think there is a nice halo to the entire brand to start to put some national message out. So you don't have to get to a critical scale to actually trigger that. It's just discussions on when and how do you want to use your media dollars.
Jeremy Scott - Mizuho Securities USA LLC: All right. And then, just follow on that, some of your competitors have noted that in terms of measuring incrementality, the breakdown is roughly 75% new transaction or interaction and 25% ticket. How would you characterize it for Wendy's?
Gunther Plosch - The Wendy's Co.: We are a little bit more tightlipped than that because we think the sample base is a little bit too small for us. The only generic comment we say is, yes, we have definitely higher check sizes. We see incrementality versus an ingoing trend pre-opening up delivery services, but we want to stay away from numbers, for the time being. Once the program is a little bit more mature, we'll probably share more.
Jeremy Scott - Mizuho Securities USA LLC: Okay. Thank you.
Operator: Your next question comes from Dennis Geiger with UBS. Your line is open.
Dennis Geiger - UBS Securities LLC: Thank you. And thanks for all the color on value and what you've been seeing on the promo side of things. If I could sneak one more in, though, on the value, just in kind of thinking about permanent value versus rotating value offers, seemingly, you've got a preference for mixing things up, keeping offers fresh, but could we ever see something a bit more permanent from you again, unless you view 4 for $4 as sort of quasi-permanent? And then just kind of building on that, I know it's very early to comment on the 2 for $6, but is there anything you could note as far as what was behind that decision? Was it the potential for higher average check that played into that, anything there that you could say? Thank you.
Todd A. Penegor - The Wendy's Co.: Yeah, Dennis, I think as you think about our calendar and our construct, we had the Right Price Right Size Menu for a long, long time and we gravitated away from that. We do think that 4 for $4 is an offer that really resonates with the consumer. And we do look at that and say a permanent item out there. Could other things flash in as permanent items, time will tell. That's why we continue to test, but we think we've got the right balance and the right cadence between how we're playing bundled meals on the value side to really drive those checks in than $4 to $6 price point, as well as some disruptive promotions along the way to drive traffic, some being entrée items like the $1 Double Stack, others being nice add-ons like the $0.50 Frosty. So we feel really good that we got the right cadence. But the one thing that we have is the intellectual curiosity to continue to test and evolve and really make sure that all of our programs at a restaurant level connect to the consumer, but also set us up to compete well against the competitive landscape.
Dennis Geiger - UBS Securities LLC: Thank you.
Operator: There are no further questions at this time. I will now turn the call back over to the presenters. This concludes today's conference call. You may now disconnect.